Operator: Good morning, and welcome to the Orion Engineered Carbons Fourth Quarter and Full Year 2015 Earnings Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Diana Downey, Vice President of Finance and Investor Relations at Orion. Thank you. You may begin.
Diana Downey: Thank you, operator. Good morning, everyone and welcome to Orion Engineered Carbons conference call to discuss fourth quarter 2015 financial results. I'm Diana Downey, Vice President, Finance and Investor Relations. With me today are Jack Clem, Chief Executive Officer; and Charles Herlinger, Chief Financial Officer. We issued our earnings press release after the market closed yesterday and have posted an accompanying slide presentation to the investor relations portion of our website at www.orioncarbons.com. We will be referencing these slides during the call. Before we begin, I would like to remind you that some of the comments made on today's call, including our financial guidance, are forward-looking statements. These statements are subject to the risks and uncertainties as described in the company's filings with the SEC. Actual results may differ materially from those described during the call. In addition, all forward-looking statements are made as of today, March 4, 2016, and the company does not undertake to update any forward-looking statements based on new circumstances or revised expectations. Also, non-IFRS financial measures discussed during this call are reconciled to the most directly-comparable IFRS measures in the table attached to our press release. I will now turn the call over to Jack Clem. Jack?
Jack Clem: Thanks, Diana. Good morning and thank you for joining us today for our fourth quarter 2015 earnings conference call. You will see our agenda for today on Slide 3. I will begin by providing highlights for our fourth quarter and comments on our two businesses, and then I will turn the call over to our Chief Financial Officer, Charles Herlinger, who will provide more details on our quarterly results, review 2016 economic and industry expectations and discuss our outlook for 2016. Once Charles is finished, I will return to discuss our operational priorities for 2016 including actions our management team will take in response to this persistently low oil price and its impact on our performance. We will then open the lines up to take your questions. Starting with our fourth quarter highlights on Slide 4, I had to say that we executed extremely well in the quarter producing some strong numbers in the face of one of the weakest oil price environments we have seen in many years. And produced the strongest fourth quarter Orion has seen since its beginning. Such performances are testament to the strong operating teams we have in both of our businesses and their sharp focus on increasing our mix of higher value and more profitable products to support our position of global leadership in specialized Carbon Blacks. We grew volumes by 10% in this quarter with similar gains coming from both of our Specialty Carbon Black and Rubber Carbon Black businesses. Volume in the later business was boosted by the completed purchase of Chinese production facility in mid-December. Our volume growth still would have been above market level at 5.3% in what is historically a seasonally weak quarter. Adjusted EBITDA increased 4.9% to EUR 50.9 million in the fourth quarter of 2015 from EUR 48.5 million in the fourth quarter of 2014, and from EUR 48 million in our third quarter of 2015. Our adjusted EPS more than doubled this quarter to EUR 0.20 per share from EUR 0.09 per share in the prior year's quarter, in line with our expectations. These increases were driven by very strong performance in our Specialty Carbon Black business. I'll provide more color on this important business shortly. Lastly, I would like to call your attention to the fact that we have voluntarily repaid EUR 70 million of debt since the end of our third quarter 2015 with EUR 20 million of the total transacted in January 2016, all as a part of our ongoing effort to deleverage our balance sheet. Slide 5 illustrates the success of our strategy of focusing on Carbon Black Specialties. Here we provide additional color on volume mix by business and geography, adjusted EBITDA of that business, and some longer term performance trend for these two businesses. Referring to the pie charts while our Specialty Carbon Black business continue to account for roughly 20% of total volume in the fourth quarter of 2015, its adjusted EBITDA increased to 56% of the total, up from 42% in the prior year. As evidenced by the bottom left graph on Slide 5, our business model and ongoing initiative had given us remarkably stable per ton profits in both businesses in spite of a very volatile energy market and some regional markets that have seen little to no growth. On the bottom center graph, we can see that the adjusted EBITDA margins in both our specialty and rubber carbon black businesses continue their long-term upwards trend in part as a result of our ongoing shift to higher value and products, and general productivity improvements, as well as the impact of lower oil prices on our revenues. In our rubber carbon black business, we significantly increase the percentage of volume coming from technically unique rubber grades including those sold to the mechanical rubber goods industry. From a geographic standpoint, we are increasing our diversification and while Europe and North America remain our largest regions, Asia Pacific saw a steep change in growth with the inclusion of our Chinese facility. Let's turn to Slide 6. Now as much as I would like to start this discussion with our specialty carbon black business with its increasingly exciting story of growth and profitability, I know many of you want to hear about our rubber carbon black business and the cost and pricing dynamics going on there first. So let us begin there at this time. You can see that it was another challenging quarter for this business. At the top line we were certainly pleased to have rubber carbon black volume increase by nearly 10% to 209.4 kilotons in the fourth quarter of 2015. Roughly 60% of the increase was the result of the completed purchase of the OECQ facility in China. Our volume growth was 3.6% without this purchase and was due to increased demand in Europe and to a lesser extent North America and South Africa which was offset by weaker demand in South America. Revenue declined by 24% to EUR 168.9 million on the lower oil prices and the resulting pass-through of feedstock cost to our customers. Gross profit also declined from EUR 44 million to EUR 39.8 million due to negative feedstock developments which were somewhat offset by volume growth and favorable foreign exchange translation effects. As anticipated, the differential pricing impact this quarter dropped by roughly half versus the EUR 7.5 million hit we took in the third quarter of 2015 but it still persist as a significant headwind for the business. Although adjusted EBITDA in the rubber carbon black business also decreased this quarter primarily due to lower gross profit as a result of a negative feedstock cost development, the adjusted EBITDA margin rose by 60 basis points to 13.3%. Increasing margin reflects the impact of lower oil price on our revenues, increased volumes and some additional progress on our productivity measures despite the unfavorable impact of lower oil prices on these measures. This was one of the highest EBITDA margins we have achieved in this business as a public company. Also worthy of note is that except for oil price driven revenue, every operating metric listed on Slide 6, from volume down to adjusted EBITDA margin, represented a sequential improvement versus the figure reported in our third quarter of 2015. The last time we talked, we touched on the 2016 contract negotiations which were underway with the major rubber customers. These are complete now and I'm glad say that although the competitive environment was difficult, the outcome was in line with our expectations. We held positions within our regions that are expected to deliver growth consistent with the expectations for each region's economy. Overall base pricing was maintained due to the competitive nature of the discussions we were not able to remedy the cost pricing dynamics affecting our raw material passthrough's at that time. I'll speak more about this shortly. Now we'll move on to our specialty carbon black business. Turning to Page 7 you will see that this business had one of its best quarters capping an outstanding year of performance and saw a year-over-year gains in volume, adjusted EBITDA, and EBITDA margin in every quarter. Volume in the fourth quarter of 2015 increased 10.9% to 54.1 kiloton versus 48.8 kilotons in the prior year period on strong gains in both, Europe and Korea, which benefited from strong auto deals and good demand in those part of their markets. We also have increased sales of our new products and product extensions in these markets as we continued bolstering our sales and technical support throughout the globe. It's certainly gratifying to see these actions reflected in our numbers and know we are executing well against our strategic objectives. Gross profit for specialty in the quarter rose to 32.9% to EUR 38.6 million as our gross profit per ton increased almost 20% as a result of the leverage of increased volumes favorable for an exchange translation benefits and our ability to manage price effectively in a lot of lower seed stock cost. The resulting leverage allowed adjusted EBITDA for the carbon black business be increased by 40.5% to EUR 28.4 million in the fourth quarter of 2015 compared to EUR 20.2 million in the prior year. Our adjusted EBITDA margin also increased significantly to 31.1% from 21.3% in the prior year reaching the record level achieved in the second quarter of 2015. Strength in adjusted EBITDA margin is clearly due to the leveraged gains due to the strong volumes coupled with our disciplined approach to processing a lot of lower feedstock cost. Fixed costs were also well managed. I will now turn the call over to Charles who will begin with the overview of consolidated performance.
Charles Herlinger: Thanks, Jack. And let me also wish everyone a good morning. Turning to Slide 8 in our consolidated Q4 results, as Jack stated our volumes increased by 10.1% or 24.2 thousand metric tons in the prior year to 263.5 thousand metric tons. As was the case route 2015 we were able to grow volumes in both of our businesses in quarter and we remain optimistic that we have the proper growth initiative in place and attractive end market demand to do so in the future. Revenue in contrast decreased this quarter by EUR 56.4 million or 17.8% to EUR 260.4 million from EUR 316.8 million as we continue to experience sales price decline resulting half through of feedstock costs offset to a degree by foreign exchange translation effects from a stronger US dollar and increased volume. Strong performance in our specialty carbon black business produced a 6.85% gain in our overall contribution margin to EUR 110.2 million in fourth quarter 2015 versus EUR 103.5 million in the prior year's period. Of the waterfall chart in the right shows volume and currency were positive factors in the quarter while differentials and other factors which include mixed were partially offsetting negative. We delivered adjusted EBITDA of EUR 50.9 million a year-over-year increase of 4.9% with an adjusted EBITDA margin of 19.5% an increase of 420 basis points above last year's fourth quarter. As the waterfall chart on the right again shows, adjusted EBITDA boosted contribution margin development offset by foreign exchange translation effects associated with our fixed costs base. Lastly, our net income in the fourth quarter 2015 was EUR 1.5 million up from the fourth quarter 2014 loss of 8.3 million with the most significant factors of this increase being related to our operating result development and financing costs. Turning to Slide 9 I would like to review our full year cash flow and touch on the few balance sheet metrics. The first thing that should be apparent on the cash flow analysis on the left graph is that we continue to generate a lot of cash. All of 2015 we generated EUR 214.4 million from operations which includes a EUR 44 million boost from a reduction in our working capital. Our uses of this cash flow in the year includes capital expenditures interest payments, mandatory debt repayments and our dividends totaling a EUR 146.3 million which resulted in the free cash flow of EUR 68.1 million. This is afforded as ample flexibility for discretionary uses this year which comprised the purchase of OECQ for EUR 27.9 million, that's acquired cash, and a voluntary debt repayment of EUR 50 million. As a reminder, we repaid a further EUR 20 million of debt in January of 2016. Turning to our balance sheet, net working capital totaled a EUR 183 million as of December 31, 2015 compared to EUR 188.9 million as of September 30, 2015 and to EUR 219.7 million as of December 31, 2014. Days of networking capital at the end of the fourth quarter was 64 days consistent with the end of the third quarter of 2015. As of December 31, 2015, company had cash and cash equivalents of EUR 65.3 million which represents a decrease of EUR 5.2 million versus December 31, 2014. The company's indebtedness as of December 31, 2015 was EUR 650.8 million, and out net indebtedness was EUR 603.7 million which represents a 2.89 times LTM EBITDA multiple. Our goal is to steadily reduce this multiple over the next several years with a combination of additional free cash flow and adjusted EBITDA development. One footnote comment, as you refer to the total debt chart on the bottom right corner of this slide, one thing to keep in mind is that some of our debt is denominated in U.S. dollars but is accounted for in Euro's, and thus kept revalued every quarter as these currencies fluctuate. So while our debt appears to have risen at times during 2015, the increases were in fact accounting adjustments due to the changes in the strength of the U.S. dollar. Now I would like to shift the discussion to 2016. On Slide 10, we provide you with the macro assumptions we are using as recently provided by the IMF word economic outlook database. With the exception of Brazil, our remaining markets are all expected to see moderate to good GDP growth in 2016. Similarly, assumptions for auto bills, see Slide 11, around the world are largely expected to crack regional GDP growth. Against this backdrop of reasonably steady economic activity in most geographies we provide our 2016 adjusted EBITDA forecast on Slide 12. Based on the volume growth, oil price and contribution margin and exchange rate assumptions included on this slide, we currently see our full year adjusted EBITDA ranging between EUR 205 million and EUR 225 million. In terms of other guidance metrics, we see capital expenditure spend in the range of EUR 55 million to EUR 60 million, depreciation and amortization combined at about EUR 80 million, and we are projecting a 35% tax rate for 2016. How might our ability to generate free cash flow and support our dividend fluctuate under different oil price scenarios but it is a question we are frequently asked, so I'd like to spend a few minutes on this topic. On the top right hand corner of Slide 12, we detail and sum the components of our annual base business cash requirements. As you can see, we currently require slightly over EUR 100 million per year to meet these base cash needs of our business. Our cash flow from operations which topped EUR 214 million in 2015 is a function of our EBITDA and variances in working capital, suffice to say we are in a healthy base level of EBITDA as a total group which historically has varied around fairly tight windows given in part the stability we've demonstrated in our per ton gross profits. Notwithstanding comparatively large percentage swings in the price of oil due to our ability to generally pass-through changes in feedstock costs. Moreover the incremental changes in our working capital needs are actually inversely correlated with changes in the price of oil. As rising input costs and product prices increase our current assets and falling costs do the opposite. The working capital offset is a temporary one however, which is why Jack will shortly review with you additional actions we can take to address prolonged oil price weakness. My point in a nutshell is that we believe we have ample of flexibility to pay our regular future dividends, invest in expansion CapEx as needed, and voluntarily pay down additional outstanding debt. I will now turn the call back to Jack who will provide some comments on operational priorities for 2016 and discuss our potential responses to ongoing oil price deflation.
Jack Clem: Thank you, Charles. I'm now on Slide 13 where I would like to spend some time discussing our 2016 operational priorities. As you can see we have another full slate of actionable items which we intend to implement over the course of this year. At the top of our list is driving stronger growth of higher value-added technical carbon black grades as we continue to dedicate more of our capacity to technically unique materials. We will do this in several ways, first and foremost by building further momentum in our already successful specialty carbon black business through the extended production of a number of selected grades. We will also look to increase the mix of specialty and technical rubber grade products that are Chinese production facility. Finally, we will continue to build strengthen our sales and technical support teams and built our traditionally strongest regions but especially in emerging markets where we have yet to achieve the share targets we believe are possible based on our widely recognized best-in-class technical capabilities. Specifically regarding our rubber black business, we will be working to boost our adjusted EBITDA to a number of productivity and efficiency improvements as well as expanding the percentage of volume coming from higher value-added rubber grades. Of course our rubber business continues to suffer from the imbalance between its feedstock cost and product pricing, and we will continue to actively address its problem in a number of ways. We will make investments during the year that will support our capacity expansion and efficiency improvement plans while concurrently evaluating our global production footprint to further identify redundant or extraneous costs. Finally, we will continue to work with our customers and potential customers to expand our product lines with development such as unique rubber grades that offer better performance and attributes like treadwear and fuel economy. Our efforts in manufacturing technology will continue focusing on improved efficiency in spite of lower oil cost environment and improvements in product quality and consistency. And we will remain a safe and healthy place to work, one, where for instance in 2015 not a single work day was lost due to a work-related injury. The last slide I have for you today, Slide 14, presents a list of levers to pull in responses as persistently lower oil price environment. These responses are above and beyond the 2016 operational priorities actively being addressed on Slide 14 and represent actions we may take and in some instances have already initiated. While we know how to run our business very well, there are many factors that simply remain beyond our control and we want to be prepared to act against them. We are committed to doing everything we can to maintain or even expand our profitability regardless of the economic environment. This was divided into cost and production responses and I'd like to make a few remarks about each category. On the variable cost side of your taking steps to address the imbalances in our formulae pricing, focusing on the disconnect which has occurred between the indices on which we've purchased feedstock and the basis used for our product sales price. From the usage standpoint, we are also taking steps to reconfigure the efficiency of existing supply programs. Lastly, we have the option of increasing our flexibility for using a wider range of feedstocks. In terms of production, we have abilities that shift some of our production capacity to higher value, add more profitable specialty and technical grades. In the similar vein we are reviewing opportunities to rationalize lower value rubber grades that become unprofitable in this time of oil price deflation allowing us to implement fixed cost reductions in selected geographies. We want you to know that we are very proactive in addressing this challenging environment with the goal of maximizing our returns and cash flow and growing our market leading position in specialty black. In closing, we continue to be optimistic about our ability to profitably grow our volumes in both of our businesses. Our specialty carbon black business continues to be a major engine of growth and profitability improvement driven by its industry innovation and leadership. In our rubber carbon black business we expect some of the same headwinds we faced in 2015 but we will maintain our respective shares in the regions that we serve. Most importantly, we are confident that we have the right team and strategy in place for continued success over the coming years. In closing, we wish to thank our investors for their confidence in Orion and all of our employees for their hard work during this past quarter and year. With that operator, please open the lines up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of John Roberts with UBS. Please proceed with your question. I'm sorry; our first question comes from the line of Eugene Fedotoff with KeyBanc Capital Markets. Please proceed with your question.
Eugene Fedotoff: Good morning. Thank you for taking my questions. First I guess on your guidance for 2016, just wondering if you can provide a little bit more color on the assumptions behind lower end versus high end of the guidance.
Charles Herlinger: Hi, Eugene, morning, it's Charles Her. Yes, I mean Eugene; bottom line is we look into 2016 with new environment we described just a few minutes ago. It is one that makes assumptions about oil price; we've seen what oil prices have done over the last very few weeks and indeed particularly in the second half of last year. And the range of the guidance for next year is very much taking into account, we can't predict oil prices will be at the higher end of that range if oil prices stabilize and start to move up. And if they go down a bit, we're going to be towards the midpoint of the lower end. We think it's appropriate at the start of the year to have a broad range and then to narrow it down as the year continues but we look into next year from a specialty point of view, optimistically as Jack has already said. We can think -- we think and believe and expect to be able to continue to move that business forward as we did in 2015. And we've got a lot of actions lined up as Jack also announced for the rubber business which we expect to take hold and drive us towards the midpoint or higher of that guidance. So those are factors really, the oil market stabilizing, moving up a bit and the many actions that we've got lined up, some of which we've already implemented, the payback in those actions will drive us towards the higher end.
Eugene Fedotoff: Thanks for this color and just to follow-up on the revenue expectations, you were guiding for -- everything go out in line with PDP. Would it be fair to assume that your specialty business will continue to grow at multiple of GDP and rubber black business will be served flattish to maybe up slightly?
Charles Herlinger: Eugene that's where we've been in the past. We've grown for the most part of our rubber business consistent with GDPs and the operating regions where they exist. Our specialty business has outgrown GDP in those regions, rather globally, so to speak. So we have every reason to believe we'll continue on that trend in 2016.
Eugene Fedotoff: Okay, got it. And do you mind maybe providing some numbers around rating efficiencies, benefits in 2016. I understand that there is more focus on that this year, so do you have a number on that you were targeting?
Charles Herlinger: There is more focus. I mean there has been focus in the past but we see additional opportunities. The point in a nutshell though Eugene is that it's a function of oil price. I mean, if oil prices go up, the value of saving on -- for example, feedstock, the efficiency programs associated with that rises well and the converse takes place with lower oil prices. So it wouldn't be a number, it would be a range. And that range certainly encompasses us improving on efficiencies we achieved in 2015. As we said already, we are already implementing we have an array of actions designed in a low oil price environment to give us a boost on the efficiency front.
Eugene Fedotoff: Got it and just one question, according to your expectations cash flow generation should be made strong this year probably in line with 2015, do you expect to obviously pay the dividends but repay debt at the same rate you did in 2015?
Charles Herlinger: In 2015 benefitted, as I called out a little bit earlier, by about 44 million of working capital reduction as oil prices came down. I am not here to predict oil prices but it's not reasonable to expect there are going to come down and to that extent, further mechanical reasons about where they already are. The fact of the matter is though we expect to continue to be highly cash generative and as I said a little bit earlier, the uses of that cash are very clear. The dividends is absolutely something we are committed to, we want to invest in CapEx, expansion CapEx, efficiency CapEx as we have outlined previously and then we want to pay down debt. Those are the clear and earmarked uses of our cash.
Eugene Fedotoff: Thank you very much.
Operator: Thank you. Our next question comes from the line of John Roberts with UBS. Please proceed with your question.
John Roberts: Hi, is the rubber black price spread relative to the benchmark oil's stable and a 100% of the issue here is the basis differential between your cost and the benchmark oils?
Jack Clem: Mostly John, that's what we thought at the end of last year, we talked extensively about the basis differential between the industries by which we buy the oil and the product to the sales price which are geared off the same industries and those bases quite frankly have broken down in this market for a variety of different regions. It changes from region to region, from material to material. Some of the arbitrage opportunities we have had in the past between different types of raw materials are no longer existing and some of the, call it the fix charges that exist with some of these materials have learned and gotten larger than they have in the past. Just because of the absolute size of oil, certain freight charge for instance by example on $50 to $60 is not as impactful as it is when it is $20 without getting into the intricacies of the formula, so that's the large driver that we are fighting right now.
John Roberts: Understood, and then if I look at Slide 8.
Jack Clem: John, let me touch up on one thing because I think it is likely to come up and I think it is in keeping with what Eugene said and perhaps where you are going as well. There's also the issue that most people on this phone know that we are pretty large exporters of energy and to the extent the energy prices fall, we see a decline in contribution from energy as well. So, a lot of initiatives we put in place were geared towards saving our raw materials and variable cost in an oil environment which was higher than it is today. That doesn't mean we are not still saving money on that, we are just not saving quite to the extent we were in the past. And to the extent we sell energy which we do not in many locations in fact, all of our regions, the income from those are not as high as they were just because of the lower price of energy we see in the world market today. So, that is a head wind for us too that you are probably aware of but I would just like to point it out in keeping about what you asked earlier.
John Roberts: Sure, you talking about the co-jen credits?
Jack Clem: Yes, the latter part of the comment was with respect co-jen credits. The earlier part was the expectations of productivity gains and efficiency gains which differ but in a $60 oil regime and a $30 oil regime.
John Roberts: Yes, understood and then on Slide 8 waterfall is a EUR 3.6 million. The rubber black EBITDA was down by a lot more than that amount in spite of the 10% higher volume so that differential obviously is more than this rubber black basis issue. Could you give us a little bit of sense what's in that differential? Obviously the much larger basis headwind you talked about in rubber black offset by other things?
Charles Herlinger: We just calling out the difference in differential between Q4 2014 and Q4 2015. That's what that number is. There are other factors, bear in mind, this is, for the company is a whole discharge, it's not just for rubber black. So you got in waterfall, you got the offset of the specialty business and you got some mixed factors of both products and regional mix factors that are included in other.
John Roberts: Okay, thank you.
Operator: Our next question comes from the line of Kevin Hocevar from Northcoast Research. Please proceed with your question.
Kevin Hocevar: Hey, good morning everybody, wonder if you could update us, if the differentials stay in level that they are at today, what the impacts would be to your EBITDA in 2016, would it be neutral, headwind, tailwind, what have you, and I guess do you have a range that you could give us for what's baked into the high and the low end, you know based on where that differential might go?
Charles Herlinger: In terms of the comparison of the guidance for 2016 versus 2015, we expect differentials based upon the assumptions we had made right now, to be at about half the level of negative differentials, to be around half the levels of what they were last year roughly, in other words from a differential point of view that would be a hiccup, a tailwind. The accuracy of that comment is factored into the breath of the guidance. That's one point. The second point we would like to make and it touches Kevin on what Jack was referring to a few minutes ago when he was answering a question to John, and that is we have got a number of other factors we are dealing with at these very low oil prices whether they are reduced payback from our efficiency program, as we said were designed originally to payback when oil was a lot higher. And also we are seeing some of the savings we have achieved in the past through using different types of feedstocks, oil based versus coal based feedstocks in certain locations. And those savings have frankly dried up in some cases as there has been a complete realignment of the feedstock market. And then the final point I will make, and this is also baked into the range of our guidance and in part why it is so broad is that, we in specific situations with specific customers some of our pricing arrangements, formula arrangements aren't really designed. We don't have a design to function efficiently from our point of view at these very low oil prices and those are some of the points where as Jack outlined earlier on this call, we are in the process of addressing.
Kevin Hocevar: And with that, the formula based pricing trying to balance the feedstock with the end price, is that something you think Orion can do on its own or does the industry as a whole needs to change the pricing to have successor?
Jack Clem: Kevin, it's a good question but I can't answer. We will pursue our pricing approach and addressing of the imbalance between these costs and processes as we see fit. What the rest of the guys do is up to them but…
Kevin Hocevar: Yes, and then where we are at, we are two months into the quarter, wondering if you could give us an update on helpings or trending, and also I think the first quarter is more difficult comp. I don't think differential is really hit you yet to any major degree and FX I believe was pretty favorable. So just wondering, how you see things trending thus far in the quarter?
Charles Herlinger: What we see actually Kevin is exactly what you have alluded to. As 2016 unfolds, we expect certainly in terms of comparisons to the quarter to 2015 to pick up. So we're going to see a more favorable comparison to '15 & '16 in the later quarters and in the earlier quarter's one and two to some extent, for the reasons you have outlined, we are going to see the reverse. So if the year unfolds we expect to develop momentum in terms of the results of this business '16 plays '15.
Kevin Hocevar: Got you.
Jack Clem: And then, just adding a little color to that Kevin, we started off the year I think pretty much on track specially business showing the same type of brilliant performance it has in the past. January can always been kind of, bit of odd month because you got some shifts going on and that type of thing but that seems to be settling out right now but I would say that generally speaking the demand level that we see in the different regions around the world are pretty much where we expected them to be.
Kevin Hocevar: Great. And I noticed in the foot notes of your press release you spent EUR 5 million related to adjusting the EPA enforcement in the US so wondering, if you have any update there that you can provide?
Jack Clem: I can only comment, I guess as we have said in the past we continue to be in active negotiations with the UPA as well as the indemnifier for those claims. We seem to be making continual progress in that regard but I am not really not at liberty to go any further than that Kevin.
Kevin Hocevar: Sure, no problem. Ok thanks very much.
Jack Clem: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Chris Kapsch of BB&T Capital markets. Please proceed with your question.
Chris Kapsch: Good morning, and wanted to thank you for the comprehensive disclosure in your commentary this morning. I did have a follow up on the differential discussion as related to your guidance for 2016. I understood what you said, you expect currently as baked in your guidance half the differential so therefore effectively a tailwind in 2016. But I am curious as how it looks so far sequentially in the first quarter versus the fourth quarter if you could comment on that?
Charles Herlinger: Yes, we are not done with the first quarter yet. Obviously Chris, by the way, good morning, but basically at a similar level so far to where we ended up in Q4 2015. Although I think it's fair to say, we are starting to see a little bit of pick up in differentials as we look to Q2 for variety of reasons in one region in particular. So, that's the view right now. The only other thing I would point out Chris is that there is a lag between when we buy the oil and when we commit to buy the oil and when we actually work it through our inventory and sell the product to the other end. That does sort of make it quite difficult to be particularly precise by months and by quarter when it hits up in the end.
Jack Clem: Chris, just adding to that a little bit. What we said we thought differentials are going to do leading into the start of 2016, here's what happened because we have pretty good visibility as what it appeared is what Charles said, but we are beginning to see some strengthening of those differentials right now into the second quarter as we are planning to tenders into the second quarter so, thus we are a little cautious about how we gear our expectations based on how its smoothing but while we have seen some abatement in that particular differential issue, it's still significant headwind and there is still a significant disconnect between the price we buy and the price we sell at which has to be addressed during this year.
Chris Kapsch: Right, and then following up on your comments tied to page 14 in your presentation attached, you talk about a levers that you feel can help improve the cost situation against this sort of backdrop of the differential issue, just wondering, somebody asked to try to get out a magnitude of them potential benefit of these, I am wondering if, in fact any benefit is baked into your 2016 guidance and if so, then what set of amount and then specifically on the efforts to diversify your feedstock as a means of addressing this disconnect in differentials? Can you adequately shift around feed stocks without having some sort of adverse effect on your production yields or your quality or your capacity, do you have any insights into that at this juncture?
Jack Clem: We have a pretty sophisticated feedstock analysis program approval processes and things that we go through and where we would make changes in feedstock are always made in view of what impact it might have on capacity particularly quality. And a number of other factors which are in the end of the game so as we would shift them around we would be always cautious of that but the additional flexibility that we seek of here has a lot to do is taking other type of suppliers just that the capital or infrastructure or the facilities in our plants right now don't have and it's times where there was potentially these arbitrage opportunities that I mentioned a bit earlier when those existed, these weren't as critical a need as they are today. But with the differentials where they are and the need to do this then we step in and we begin to re configure, do some CapEx spending, some may call it as additional plumbing and our facilities so that we can use these but in terms of outside end look on our capacity or ability to produce certain types of premium products now there would not be an impact.
Charles Herlinger: And to your question Chris about how much of the topics on page 14 abated your guidance, you know to get above the mid-point of the guidance we are going to need to realize some of these, several critical initiatives have already been initiated. So to get above or beyond even at mid-point, higher end of the guidance beyond, we would need to deliver some of this and that has already started.
Chris Kapsch: And then if I could just one final question on the balance sheet and as we have talked about in the past about you guys, the decision to strategically bring down or pay down some debt and deleverage a little bit partly functions how punitive the capital markets have been towards companies with perceived leverage, so given a little bit of shift there in your ability to comfortably de-lever to both grow your EBITDA and generate cash, what's the new target that you have, what makes sense for a company with your profile and your cash generative characteristics, thanks?
Charles Herlinger: I mean just to reiterate to directly answer your question, cash use 1 is dividend, two, expansion CapEx and efficiency programs and three pay our debt. In terms of what our target is to get around to the mid-twos in the median terms. Two and a half times leverage to a combination of debt pay down on EBITDA improvement. Our interest burden has come down significantly with a pay down of EUR 70 million that we did around last year. That is round about EUR 32 million to EUR 33 million each year which is compared to our EBITDA and cash generation which isn't a huge burden. But in terms of measurement of leverage and that too LTM adjusted EBITDA, that is why we want to bring it down into the mid-twos.
Chris Kapsch: Got it, thank you.
Operator: Our next question comes from the line of Charlie Webb from Morgan Stanley. Please proceed with your question.
Charlie Webb: Good morning guys, thank you very much for taking my questions. Just two if I may, firstly, with the completion of the OEC queue acquisition can you talk us through the extension timeline to expand especially the technical grade productions? How the current demand of these grades looks in China today?
Jack Clem: That particular facility has been directed towards specialty rubber. We call it MRG or Mechanical Rubber Goods business. It is a premier supplier of that particular material in China and thus it's been able to stay reasonably stable in that market because OE and car building China while is not quite heady as it used to be, they still build more than 20 million cars a year and they have become more and more premiums, and so the demand for those materials are quite high. There is some other materials made in that facility and we will work with our technicians to continue to move more of its capacity to that particular MRG material supplying that OE market. At the same time in former times was a producer to some of the coding and printing ink businesses in China, it still does a little bit of that but given the distance between the facility at the time it was in limbo and now, they sort of lost track of those areas lost technical support which we have a significant amount in Shanghai and Asia Pacific, as well as globally. So we'll begin directed also to some of these areas where we can penetrate back into some of the printing industry, some of the higher-end printing industry, as well as finally into some of the color [ph] master batch which exists there. We are as you probably know a premier supplier of very high-end specialty blacks into China produced outside of China, but to be competitive in some of the markets we just described we needed production footprint in China which we have now. So the lines that we have got there are always, we always had a notion that the strategy has been to direct as much of it as possible to the OEMRG area, particularly for the premium end and these areas of specialty carbon black that require what I would call regional supply as we now have with Qingdao. So, that -- I mean that's the plan right now and if you ask about timeline, well it's clearly underway right now that's what our technicians, our marketing people are working on as we speak.
Charlie Webb: Very helpful, thanks. And kind of a little bit of a follow-up to that, could you give us maybe bit of color plant utilization by region, maybe Europe, North American and then Asia. What are you are seeing currently today given the volume growth we've seen kind of this year, 2015 versus 2014 and I'm looking at the run rate going into 2016?
Jack Clem: Yes, this sort of generally speaking, kind of picture of the last few months and where we see going forward right now. I would say, US mid-80, maybe I am talking about ours, mid-to-high 80s or so; Europe, is tight, very tight, interestingly enough probably the tightest markets we have right now is there. We are full for the most parts in Korea and that is a very tight market right now. China, our new facility there is operating probably in the low 80s but that's simply because of the need to gear up to do what we are talking about right now and the notion is we will be operating at higher capacity there going forward. South Africa, recently operating last year in the mid-80s, mid-to-low 80s which is okay because they are the only supplier there and essentially the only supplier to the rubber industry in South Africa. Brazil, remains the weak link just because of the economy down there, I'm going to put it probably the lowest of the utilization rates.
Charlie Webb: Okay perfect, thank you very much.
Operator: Thank you. Our next question comes from the line of Jeff Zekauskas with JPMorgan. Please proceed with your question.
Jeff Zekauskas: Thanks very much. Could you talk about your net financing cost for 2016; will they differ very much from 2015?
Charles Herlinger: Good morning Jack. Net financing costs we expect to be EUR 32 million to EUR 33 million of interest costs. Also, in our P&L, as we have talked about it actually a little bit earlier when I was reading the prepared remarks, as you recall we have a portion of our debt, roughly half of its denominating US Dollars gets revalued. Some of portion of which, which is not hedged, gets revalued through our P&L so that, can depending on what happens to FX, can impact the overall financing costs. It's an on-cash item, so the cash interest expense EUR 32 million to EUR 33 million for 2016.
Jeff Zekauskas: Secondly, your tax rate will step up for next year? Why is that?
Charles Herlinger: We expect our tax rate to be 35% which is guidance. We have given since last three years. We have a tax rate this year of just a bit over 35% actually.
Jeff Zekauskas: I see, so your adjusted tax-rate was 35% this year?
Charles Herlinger: Yes, it was 35.7% I believe.
Jeff Zekauskas: Okay, great. When you look at your specialty black volumes, do you think you are growing at the rate of the overall market or do you think you are growing faster or slower?
Jack Clem: Jeff, we track what we can, with the growth of specialty black markets are around the world and our views and views of third party do the same thing. We have outpaced the specialty black growth every year since we have been at Orion.
Jeff Zekauskas: So, how have you done that? Is it from a particular application or a particular region or local competition? Can you just speak a little bit more about how you have done that?
Jack Clem: It's not a cost issue. I think I can set that one aside right now, I think it's a focus, it's a technology, it's an increase in our sales staff, it's a penetration of markets where we did not really exist in the past, there was within the prior day, there was focus on the traditional markets of Europe, to some extent the Koreans taking care of Korea, the US so forth and now, we have placed a lot of additional people in the markets where we had no offices in the past. That is proven to be very good and in addition to that we have found what I would consider really nice vanes of opportunity which fall into for instance the apparel market in China we have got a material that's doing very well for us and that's been a reasonably stable market for China. Infrastructure business in Korea which is probably more export oriented has been very strong for us and we have been able to participate in that as well. In the U.S., we probably didn't have a priority we say four to five years ago a level of technical talent to support the penetration of these markets and we have those in place now in addition to the people that I mentioned earlier in such areas is South Africa, South America, Southeast Asia, Thailand and so forth. I just call it an all-out effort of product development, product extensions, product support and focus.
Jeff Zekauskas: And then, lastly, do you expect that measure growth above the market to continue in 2016 or probably we would go back to a more normalized level closer to the market?
Jack Clem: No, we think we can continue that trend Jeff.
Jeff Zekauskas: Okay great, thank you very much.
Operator: [Operator Instructions] Our next question is from the line of John Roberts with UBS. Please proceed with your question.
John Roberts: Thank you, in the specialty black profit improvement, is there a way to think about how much of that is lag benefit between in raw and how long will it take for it to unwind?
Charles Herlinger: There is a piece of John but bear in mind, around about half of our specialty business; it doesn't have any price adjustments. Now, and our customers, as Jack outline earlier are focused on the value of our products. I think also the final thing I will say in response to your question is the function of whether all prices stay at a particular level or keep jumping around and given that we can't predict that it's very difficult to predict, if there's some earnings that we should expect to drift away over time. The reality is actually that the oil prices are always moving and the customers who aren't on an indirect adjustment are actually focused on the value we bring. Just to conclude, there is no particular leakage here.
John Roberts: Thank you.
Operator: Thank you. Our next question comes from Chris Kapsch from BB&T Capital Markets. Please proceed with your question.
Chris Kapsch: Yes, my question was on the specialty business but it has been answered already. Thank you very much. Appreciate it.
Charles Herlinger: Welcome, Chris.
Operator: Thank you. Our next question comes from the line of Jeff Zekauskas with JPMorgan. Please proceed with your question.
Jeff Zekauskas: Thanks, just one last thing. How much do you think you EBIT or EBITDA improved from 2015 from currency effects?
Charles Herlinger: 2015 base 2014?
Jeff Zekauskas: Yes, that is correct.
Charles Herlinger: Yes, we have that. In terms of EBITDA let me do some swift arithmetic here, round about EUR 15 million or so Jeff, less EUR 14 million if I take year 2014 versus 2015.
Jeff Zekauskas: That's the way we calculated it too. We appreciate that.
Operator: Thank you. Mr. Clem, there are no further questions at this time. I will turn the floor back to you for any final concluding remarks.
Jack Clem: All right, well thank you for joining us today and some really great questions from all of you. Appreciate you taking the time to join us for this discussion. I guess I am particularly pleased to hear the questions about the specialty's business because we are quite bullish on that business, it's been a strong driver of growth for us, it's been really an astonishing success and we will continue to see growth as we go forward so I appreciate those questions about that because feel like spent a lot of time talking about other business when it's the specialty business which I think deserves a lot of credit for what is done. Having said that, I would comment that I trust you heard us today about our business, it's in an environment right now which is difficult. It's got headwinds from last year continuing into this year. And some truly, some structural issues that are going on right now that need to be addressed. We are taking a pretty pro-active approach towards doing what we can to address this imbalance between cost and price of our material and looking very hard at the production network that we have within our systems to see where because of this process location what we can do to walk away from some of the business. It doesn't make any sense or at least push it to higher margin materials and if it requires us to do so to deal with the fixed costs associated with that so, I hope the two points of this discussion have been very clear and just to re-cap that great performance last year 2015 for the specialty guides. Expectation as much the same in 2016; difficult time for rubber but good team in place, good plants in place and some very key initiatives underway right now to address what we consider the structural difficulties of that. So having said that thank you very much again, we appreciate your time and we will close the call at this point.
Charles Herlinger: Thank you very much.
Operator: Ladies and gentlemen, you may disconnect this line at this time. Thank you for your participation.